Operator: Good morning. My name is Chuck, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2019 Earnings Call for The Bank of N.T. Butterfield & Son Limited. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Noah Fields, Butterfield's Head of Investor Relations.
Noah Fields: Thank you. Good morning, everyone, and thank you for joining us today. Today, we will be reviewing Butterfield's second quarter 2019 financial results. On the call, I'm joined by Butterfield's Chairman and Chief Executive Officer, Michael Collins; and Chief Financial Officer, Michael Schrum. Following their prepared remarks, we will open the call up for a question-and-answer session. Yesterday afternoon, we issued a press release announcing our second quarter 2019 results. The press releases along with a slide presentation that we will refer to during our remarks in this call are available on the Investor Relations section of our website at www.butterfieldgroup.com. Before I turn the call over to Michael Collins, I would like to remind everyone that today's discussions will refer to certain non-GAAP measures, which we believe are important in evaluating the company's performance. For a reconciliation of these measures to U.S. GAAP, please refer to the earnings press release and slide presentation. Today's call and associated materials may also contain certain forward-looking statements, which are subject to risks, uncertainties and other factors that may cause actual results to differ materially from those contemplated by these statements. Additional information regarding these risks can be found in our SEC filings. I will now turn the call over to Michael Collins.
Michael Collins: Thank you, Noah, and thanks to everyone joining the call today. I am very pleased with Butterfield's progress during the second quarter where we continued to produce strong financial results, created new avenues for profitable growth with the acquisition of ABN AMRO (Channel Islands), and implemented structural efficiency initiatives to maintain our industry leading return profile. We continue to focus on our core profitable banking and wealth management franchises in Bermuda and the Cayman Islands, as well as our growing presence in the Channel Islands. We also offer specialized financial services in The Bahamas, Switzerland, Singapore, and the UK. Turning now to our Slide 4 of the earnings deck. During the second quarter, we reported net income of $39 million, or $0.72 per share, and $51 million, or $0.95 per share on a core basis. Butterfield's core return on tangible equity of 24.6% should be amongst the top quartile of U.S. regional peer banks. In the quarter, we achieved growth in banking fees, a core efficiency ratio of 60.3% and stable period end deposit volumes. Deposit costs remain favorable at 42 basis points with an overall NIM of 3.18%. The board also approved the quarterly cash dividend of $0.44 per common share. At recent share price levels that equates to a yield of just over 5%. Last week, we closed the previously announced acquisition of ABN AMRO (Channel Islands) Limited. The closing proceeded slightly ahead of schedule and went very well. We continue to expect that the operations will become fully integrated with our existing Channel Islands bank within 12 months. The deal is an overlap in terms of service offerings and the client portfolios. In addition, the banking system we use in the Channel Islands is the same as ABN AMRO, which great – greatly simplifies account migration and integration. With this deal, we have obtained 130 new banking colleagues and over 3,000 customers and we look forward to keeping you informed as we combined the two businesses at business operations in the Channel Islands. I'll now turn the call over to Michael Schrum to provide further commentary on the second quarter results.
Michael Schrum: Thank you and good morning everyone. On Slide 6, we provide a summary of net interest income and NIM. Net interest income was $85.2 million, a 3% decrease compared to last quarter. NIM was 13 basis points lower in the quarter compared to the prior quarter due to yield pressure at the short end of the curve, an uptick in term deposit costs from rollovers and new lower margin multi-currency deposits that arrived at the end of the first quarter. On Slide 7, we provide an overview of average customer deposit balances by location, currency and contractual nature. In the second quarter, term deposits increased marginally to 24.1% from 22.5% in the prior quarter. Pound Sterling dropped to 14.1% of deposits, but other which is primarily Euros increased to 6.4%. As discussed last quarter, we had $300 million temporary inflow of deposits at the end of the first quarter and as anticipated those same funds left our balance sheet early in the second quarter. From quarter to quarter, we can experience significant inflows and outflows in our deposit levels due to large trust and fund clients managing their normal commercial flows. It is also worth noting that as we move forward with the acquired ABN AMRO (Channel Islands) business that comes with a significant component of non-U.S. dollar currencies, particularly the Sterling and Euros. Looking now at Slide 8. Fee income was higher in the second quarter with non-interest income up 2% as credit card fees helped to improve banking income. Fee income relative to interest income continues to help moderate earnings at risk due to interest rate movements. On a relative basis, we continue to see higher fee income ratios than U.S. regional banking peers. On Slide 9, we provide an overview of core non-interest expense, which resulted in a core efficiency ratio of 60.3% at target levels. The second quarter had some significant restructuring costs that impacted non-interest expense, including the closure of a bank branch in Bermuda, voluntary early retirement program in Bermuda, redundancies in Jersey and costs associated with the departure of The Group senior executive. Improving operating efficiency continues to be very important to us as we seek to maintain earnings momentum during this part of the interest rate cycle. We will continue to look for ways to drive costs lower with emphasis on utilizing our lower cost service centers where possible. Looking now at Slide 10, we provide a summary of capital levels. Dividends and share repurchases will remain key capital management tools together with selective M&A opportunities and we remain actively focused on returning excess capital to shareholders. The share buyback program is temporarily paused until we complete the initial onboarding of ABN AMRO clients and deposits, which we expect to be completed during the third quarter. We're also pleased that the board approved a $0.44 per share qualified dividend. To put our capital management in perspective, during the last 12 months, we have returned $191 million, or 99.4% of net income, to shareholders in a combination of common share dividends and share buybacks. Turning now to Slide 11 and a discussion of the balance sheet. At the end of the second quarter, deposits were $9.9 billion in line with where we expected given the movements of temporary deposits at the end of the first quarter. Loan balances were flat with growth in UK residential loans being offset by commercial loan repayments elsewhere. During the quarter, we also put $130 million of new money to work in Ginnie Mae fixed rate securities at an average yield of 2.99% at an average duration of 3.9 years. Turning to asset quality on Slide 12, the non-accrual loans remained well within expectations and are specific to individual circumstances. We're not seeing any systemic credit issues in any of the markets in which we lend. Our $4.5 billion investment portfolio remains highly rated with 96.8% of securities rated AAA primarily in guaranteed U.S. government agency securities. On Slide 13, we discussed the average cash and securities balance sheet with a summary of interest rate sensitivity analysis. While we remain asset sensitive, our relatively large non-interest income contribution helps to moderate our exposure to interest rates. As we think about interest rate sensitivity at a more granular level, over the next few years it is clear that the bank's net interest incomes impacted differently by what happens with both overnight market rates as well as longer-term dollar rates. As an example, using the 30 June balance sheet, a quarterly down ramp scenario of four consecutive 25 basis point rate cuts could contain the negative 9.8% interest income shock scenario as shown on the slide to around 3% assuming the 10 year stays at the current levels. Offsetting the run rate of the cost restructuring initiatives already announced and implemented, we should expect that impact to moderate further to about 1.5% in bottom line terms. We monitor and model a range of rate scenarios and we'll continue to manage liquidity and funding conservatively while deploying excess funding gradually to build earnings resiliency and reduce asset sensitivity. I will now turn the call back over to Michael Collins for some concluding remarks.
Michael Collins: Thank you, Michael. When Butterfield listed its shares in the New York Stock Exchange in September 2016, we presented a strategic plan for pursuing growth and profitability. I am pleased to say that much of what we set out to achieve is being accomplished. We have increased deposits, created loan growth opportunities through our London based lender, improved fee income through pricing refinements, repositioned jobs and lower costs jurisdictions, managed capital to improve returns and executed M&A deals to realize growth and chosen premier international financial centers. Importantly, with the close of the ABN AMRO deal, we have achieved a geographic balance with deposits more evenly distributed between Bermuda and Cayman and the chain of Channel Islands. This is helpful as each jurisdiction has its own business cycle. Recent forecast expect the Cayman Islands to benefit from GDP growth of between 3% and 4% in 2019 with the Channel Islands between 1% and 2% and Bermuda around 1%. As we look forward, we are focused on integrating and growing the Channel Islands operations, while continuing to dialogue around new M&A opportunities within our current geographic footprint. With a combination of a strong capital return profile, healthy growth prospects and conservative risk posture, I believe we remain really well positioned for continued success in 2019 and beyond. Thank you, and with that we'd be happy to take your questions. Operator?
Operator: [Operator Instructions] The first question comes from Alex Twerdahl of Sandler O'Neill. Please go ahead.
Alex Twerdahl: Hey good morning, guys.
Michael Collins: Good morning, Alex.
Michael Schrum: Good morning, Alex.
Alex Twerdahl: First off, just wanted to drill into the non-interest expense line, the core expenses of $79.2 million came in pretty meaningfully lower than, kind of what you were targeting last quarter, which I think was around $84 million. So maybe Michael, you can just start by talking about whether or not is $79.2 million kind of pre-ABN AMRO is a good run rate kind of for, sort of the base operation before the deal gets integrated on top of it? Or if there's anything else in there that we should be mindful as we kind of think about what happened in the second quarter going forward?
Michael Schrum: Yes, thanks. Thanks, Alex. Great question because expenses did come in a bit lower. As we mentioned, we are very focused on efficiencies, as you can see there's a non-core items in that quarter. And we did benefit – we started to benefit from those efficiencies on a lower run rate of core expenses already, particularly the branch closure obviously and the other retirement program. There are sort of three smaller accrual items in this quarter, which further reduced this quarter expenses by about $1.5 million to $2 million, which were year-to-date adjustment on the bonus accruals given the right outlook. So a little downward tick there, better than expected medical claims, the bank partly self-insurances our healthcare plans and we had a better than expected claims development in the first half of the year. So that was a positive on expenses. And then I think finally, maybe more of a timing issue, but following the voluntary retirement program, we will – there may be sort of, a couple of few roles that will need to be back filled. So that has an obviously come on board yet, so that’s – that’s helping a little bit more this quarter as well. So while we expect that lower quarterly run rate due to restructuring initiatives, a more normalized run rate might be around 85 – 81.5 to 82 range, which is still a meaningful reduction and that's before the ABM deal, which historically has been around $5.5 million to $6 million on a quarterly expense range. So, hopefully that sort of gives you a bit more detail around what happened in the quarter as well.
Alex Twerdahl: That’s great. And the $5.5 million to $6 million on ABN, that's sort of pre-cost sales, right?
Michael Schrum: Exactly. So it's sort of the historical if you look at their last year's financials, et cetera.
Alex Twerdahl: Great. And then maybe you can just, while we're talking about ABN AMRO maybe give us an update, now that the deal is closed and what the pro forma balance sheet looks like in terms of the size of the deposits that are coming over as well as the currency denomination that they're in?
Michael Schrum: Okay, I'll start off. So the closing went pretty much as expected. Maybe a little bit earlier than we had thought. The terms of the balance sheet deposit levels, it's really pretty much on what we said before, so sort of about GBP2.8 billion. We still expect some reasonable attrition as we get to another client base. 3,000 new clients, 130 employees and we're working through both the credit book and all the accounts as we speak. And as we get to know the client base a bit better, we'll have a better sense of where deposits are going. But we have sort of forecasted about 35%, 40% attrition, which we still are comfortable with in terms of those sorts of numbers. So no real issues – in the closing no real issues, in terms of client perception of Butterfield. It's always a little different when you go from an ABN, which is partially owned by the Dutch Government to smaller bank like Butterfield. But we worked through our clients and they all seem comfortable with our credit quality and our balance sheet. So it's all smooth sailing at this point.
Alex Twerdahl: Very good. And you're still on track for the same EPS accretion expectations when the deal was announced, which I think was, if I’m not mistaken 3% to 5%?
Michael Collins:
then a few IT changes.: So it's actually at the moment, we're operating two separate, one for ABN clients. So we're currently gapping all the product sets and the pricing, so we have one approach to the market, et cetera. So we look forward to give you much more update. It's one-weekend, but it's gone well so far.
Alex Twerdahl: Fantastic. Thanks for taking my questions.
Operator: The next question comes from Will Nance of Goldman Sachs. Please go ahead.
Will Nance: Hi guys, good morning. So the NIM was down 12 basis points this quarter and I know LIBOR moved in the quarter and we saw some live data in the time deposit book. I guess was there anything to call out more out of an ordinary in the numbers, particularly in the security deals being down 15 basis. Was that maybe premium ABN-related? And then maybe stepping back and putting ABN AMRO side for the moment, because I know you guys – I know that will have an impact on the margin. Could you just talk about your margin expectations, if we do get three to four rate cuts over the next 12 months? Thank you.
Michael Collins: Yes, thanks Will. So let’s start with the last one which I – I think I kind of covered a little bit on the call. But if we get a ramp scenario, obviously we get an opportunity to react on the loan pricing, et cetera. So we do monitor a wide range of sort of scenarios which I think we've – I said a ramp scenario 4 cuts would sort of impact NII by about 3%, so it's down from the a short scenario of minus 100 parallel of 9.8. And obviously, offsetting part of that would be some of the cost mitigation that we've already put in place. Now I mean that depends on where the long end goes, but that sort of all other things being equal. If the long end starts moving down, obviously that exacerbates the reinvestment yield problem for us. But essentially as we talked about last quarter, we highlighted sort of the currency mix of deposits in the Channel Islands and lower rates on UK mortgage originations, we're placing loan volume amortization in high-yielding Bermuda loan book. So those two factors overall sort of unfavorable impact of NIM by sort of a handful of basis points this quarter. Of course we've seen, [indiscernible] we've seen 40%, 45 basis point drop in the 10-year and short end by marketers has come down by about 20, 25 basis points, which is Fed rates. So as you know, the bank doesn't have access to affect window, and we've run a short key bill book for liquidity and this is at a unfavorable yield impact of 19 basis points on a $2 billion as you can see on slide 6 of the presentation there. And additionally, duration has shorten due to low refinance rates and reinvestment rates have come down on the overall securities book, which was expected. And again, premium am, as we think about that, it's probably a handful of basis points. We don't have a lot of – we don't buy a lot of securities at above [indiscernible] sort of in the 103, 104 range across the book. So that isn’t a big factor but obviously, as we think about pre4mium ABN versus where the – duration versus weighted average life of the book, the durations is coming more than the way to average size of the book, if you will. On deposit side, we had a positive OCI for the first time since 2017. And as we already mentioned, we're focused on offsetting some of the NIM pressure with the cost reductions. But I would stress we continue to manage credit risk appetite, liquidity, capital very conservatively so we can continue to extend duration with the new monies that we're putting to work and provide additional earning support for both dividend organic growth and also reengaging in share repurchases activity later on in the year.
Will Nance: Got it. That’s very helpful. And if I could circle back on that and the 3% number, I think in your operate scenario, you guys assumed a 50% deposit beta and the Bermuda base rate moving every other time. Can you talk about your assumptions in the down rates scenario and just how you expect to those variables to play out?
Michael Schrum: Yeah, so shock rates scenario are symmetrical in terms of assumption set. So it's 50 term beta and, I think 70 term deposit beta and in Bermuda and Cayman and 90 in the Channel Islands, which had been more competitive in non-USD currency rates. In terms of the steepening and ramp scenarios, we're basically rolling forward the reinvestment rates with a flat 10-year essentially and that's what moderates the impact. So obviously, again, that's kind of just to show how that is now particularly symmetrical in terms of the asset sensitivity. It's at the short and at the long-end. So we get a down ramp of just over 3%, one that gives us an opportunity to lag on repricing of the loans. We can move the term deposit pricing down as we've already started to do. And we get a further earnings accretion coming through the reinvestment of securities. So that's kind of – the down 100 shock is definitely sort of an outlier, but I know that's a common measure that everyone uses. So I just wanted to provide a little bit more granular detail this quarter. I think in terms of the impact on NIM, I don't think we put that out anywhere but you can kind of calculate backwards into those.
Will Nance: Got it. That's helpful. And if I could squeeze one more in just on some of the purchase accounting marks for the acquisition, given what rates have done, is it possible that we could see a little bit less tangible book value dilution on the date of the close? And I guess if that were the case, would that – would you guys feel comfortable reinstating the buybacks a little bit sooner?
Michael Collins: Yes, I mean we've seen – so first of all, we've seen Sterling will be a little bit lower. So, since the announcement, we had the price was fixed in Sterling at $161 million. There's not going to be any price adjustment because deposit volumes were essentially as expected, but because Sterling was down a little bit that we’re going through the PPA at the moment, as you can imagine, allocating the intangibles, but overall the dollar value of that has come down by a couple of million bucks. And then the – in terms of the dilution, I think on day one, our model had us dipping into sort of mid fives in terms of tangible. I think the biggest factor there is the deposit attrition. That's going to impact that. The changes in rates is really kind of minimal compared to – has an impact on tangible relative to deposit attrition. So, you know, as we're going through – right now, we're looking at obviously harmonizing the pricing across the different product sets, actually ABN had some products that we would like to introduce in terms of pooling or do currency accounts. So I think that would be a net positive in the market, potentially leading to new to bank customers. But clearly the Euros, given that we don't have an asset deployment strategy in Euros, would be one that we’re looking at very closely from probably month one onwards. And that's when we would expect to see that repricing to start.
Will Nance: Got it. Thank you for taking all my questions.
Michael Collins: Thanks, Will.
Operator: [Operator Instructions] The next question comes from Timur Braziler of Wells Fargo. Please go ahead.
Timur Braziler: Hi, good morning.
Michael Collins: Good morning.
Michael Schrum: Good morning, Timur.
Timur Braziler: I wanted to follow-up on one of Will’s questions, just to make sure I heard this right. So in terms of the Bermuda resi book in a down rate environment, is there still as much discretion as to what you do with that pricing or is there going to be more political pressure to lower those rates with every U.S. fed cut?
Michael Schrum: Yeah, so I'll start and hand the question over to Michael Collins, but I just want to reiterate the way we've modeled this is a little beta of 50, both up and down. So essentially every other move question is, you know, would you move the first one? We'd make that decision every, every time fed funds moves as you know and there is a 90 day lag on the repricing due to notice to customers. And I think obviously it's something that we're watching very closely this week in particular and there is two sort of Bermuda dollar base rates. The rest of the book really reprices with market rates. So in Cayman, it will be U.S. prime, that will be reprised pretty much automatically and in the UK it's the Bank of England base rate. So Bermuda, really the $1.1 billion of mortgages and just over $600 million commercial, now the two portfolios that there's some level of discretion over, but I'll let Michael to talk a little bit more.
Michael Collins: Yeah. And also Timur we have two Bermuda dollar base rates. We have one for commercial and a separate one for residential. So we actually can kind of bifurcate it and moves differently for the different groups. I mean, I would say, technically we have as much discretion, on the way down, is on the way up because each of the banks at Bermuda control their own base rates, but we are also really focused on treating customers fairly. And I think as Michael said, it's really more about timing. So, 50% beta is about right and we start to figure out what our view is in terms of what the Fed is going to do. And whether they do one and stop or do a bigger one and stop or they do it gradually. So we have discretion, but we just have to look at it on the day and see what's happening around us.
Timur Braziler: Okay. That's good color. Thanks. And then I'm hoping you can provide some color on timing of deposit attrition. Is that again at your discretion or is that working with the customer base and I guess how fast do you expect that deposit attrition to fully come through?
Michael Schrum: Yeah, I think, I mean – I think we’re really focused initially on reviewing client portfolio. So, what's happening right now as you know as part of the due diligence, we looked on a risk basis at prior levels, but we needed to get to completion before you could really get into both the credit files in terms of any potential impairment that might be in there. Again, we looked at the sample of files to NTB. As the RM start to work together across the two banks really and have to go through the portfolios and the relationships with both banks and we’ve got to harmonize the product set and the pricing. We want to be very transparent with customers about what our intentions are, but it is –it's a weekend and it's a little bit early to kind of – I mean, we've modeled I think as Michael said, 35%, 40% on the basis that – of the information that we had at the time. We'd like to do better, but we also want to make sure those – the customers that are retained have a productive relationship with the bank. That's a kind of win-win. So it's a little early to – I think the model that we've given previously is the one that we're currently sticking with, which has a linear sort of four quarter attrition per venture. But how it's actually going to happen, it will depend on – will depend on how the RMs actually works with the clients.
Timur Braziler: Okay and then just one last one for me. Obviously, the shape of the yield curve has changed pretty drastically since you guys announced the ABN AMRO deal. Maybe just talk about the reinvestment of that liquidity. I guess I was a bit surprised to hear that the accretion hasn't really changed given the change and the yield curve and where some of that liquidity is going to be potentially reinvested. Is there maybe a change in duration? Or I guess what are your guys' thoughts on timing and ability to redeploy those that liquidity both profitably and in a timely manner?
Michael Collins: That's a great question. So, well, what we did when we put the model together was treat essentially this as contractual funding in a model, which means matched duration in year one, which means everything is short. And as you can see in that guidance from the 25 of April the way the average cost of deposits is 12 basis points, the actually yield was fairly low on those deposits. I think as we now have on boarded substantially or what have on boarded at the balance sheet, we started looking at it, the dollar seemed sticky. We'd like to obviously have a haul back to ensure we have adequate liquidity, but we received all the regulatory approvals of streaming limits as part of that. So we feel a bit more comfortable that we are able to cover those positions between the haul back that we have in Bermuda and Guernsey. And so I think for us we would like to think about taking advantage of the backup in yields, for example, to 10% of dollar out, pretty early because I think that's still in a safe zone if you will. So that's what's changed really is the time from when we announced the deal to the closing, we've learned a lot about the clients. We've been very pleased with the closing process and I think we feel pretty comfortable with a little bit more duration in the dollar book given the large hold back that we haven't improved out as well.
Michael Schrum: And remember, Timur with that the sterling deposits from ABN are going to help us fund the wanted mortgage book, which is still growing. I would say it slowed down a little bit due to obviously Brexit uncertainty, but still steady progress there. And with sterling liquidity from ABN actually it’s going to help quite a bit.
Timur Braziler: Okay. And if the legacy kind of transactional liquidity position was in that $1.5 billion to $2 billion, do you have an updated kind of liquidity target for the combined entity?
Michael Collins: Well, yeah, I mean we do, but we put everything pretty short on day one. So what we need to do is update the bar, but we have a significant amount of upstreaming limits. So I think the regulator has been very understanding that we need to be able to manage liquidity between the banking centers, which has been very helpful in this process. So, I would say, we will keep most of the book fairly short. So, if you said it was say $3.5 billion to $4 billion because we expect large attrition, we're going to keep it fairly short in the first six months, but you could expect maybe 10% of the dollars, which is $130 million, $150 million moving out a little bit sooner. And as we release some of the reserves that we have in Bermuda and use the short dollar position that we have in currency as a bit of a backstop liquidity as well.
Timur Braziler: Got it. Thank you.
Michael Collins: Thanks, Timur.
Operator: Our next question comes from Michael Perito of KBW. Please go ahead.
Michael Perito: Hey, good morning guys.
Michael Collins: Hey, good morning.
Michael Schrum: Hey.
Michael Perito: I apologize if this was addressed already, I've kind of been jumping back and forth in a few calls, but I wanted to talk a little bit about capital just as the potential for rate cuts build. I just want to get updated thoughts maybe on how you're thinking about your profitability relative to your capital deployment. I mean, I guess asking the question in another way. Presumably profitability will be challenged to improve if rate – if the Fed starts cutting short-term rates. How do you – how should we think about kind of your outlook on dividend and payout? I mean is there any potential for alterations? Or you think it'll pretty much be the same as where it's been? And any color there would be helpful.
Michael Collins: That's great. Mike thanks for the question. So, obviously, we stress test the earnings profile quite significantly and that's the audit committee and the board wants to see that before they approve the dividend. So, we normally target around a 50% payout ratio. As we have done historically, we've been lagging it a little bit because earnings have been moving up faster, but it's normally sort of set a foot for the year, but approved every quarter. At the current rate scenarios that we're running that could maybe get to 70% payout ratio, but we would – we don't think that this is going to threaten in anyway that the dividend that we set. That's just they cyclical move in the payout ratio effectively. What it may affect obviously as earnings are – as this downward pressure on NIM is how much costs savings can really offset part of that and then what’s the capacity relative to organic growth and buyback capacity that remains out of the capital. So we're thinking about the same way. It's just a different part of the cycle, but we feel very, very confident in terms of dividend. I think the buyback…
Michael Perito: I’ll…
Michael Collins: All right, the buyback as we have talked about just in terms of the ABN, a tangible is kind of dipping in because it's a large balance sheet on day one. It’s dipping under the six target range, but we'll still earn it back fairly quickly in a couple of quarters. So we anticipate later on this year we'll be able to restart to buyback.
Michael Perito: Okay. And then just of the – obviously the higher rates has been a great backdrop for you guys, but in a more challenging rate environment, obviously the fee contribution you have is helpful. And I'm just curious, and again apologies if you spent some time on this already, but just can you talk about any other initiatives on the fee side whether geographical line of business specific that that you think could be helpful in growing revenue even if it's in a down rate environment?
Michael Collins: Yes. So I think it's fair to say in our banking markets, particularly our legacy markets for Bermuda and Cayman where we have got really good market shares. We've increased fees over the last number of years pretty consistently. I think there is probably less room to do that going forward simply because the economies are growing at different rates. And I think we're reasonably priced where we are. So I think just in terms of fee increases, it's unlikely that you'd see us doing anything substantial in terms of increasing our sort of 33% of our revenue that's fee income that's really would be through acquisition. So looking at trust acquisitions as we've done in the past whether they're smaller or medium sized or bigger is where we would grow. We ought to grow trust fees organically simply because you pick up a small number of trusts every year and a few trust retire, but it's pretty much a flat business. So that growth is going to have to come through basically acquisitions. I would say places like Cayman are growing sort of 4% to 5% GDP. So we will see some natural increase in fees just based on volume increases, but not so much I think going forward in terms of fee increase. Our real focus has got to be on the down part of the cycle is expenses and continuing to see where we can actually do things more efficiently.
Michael Schrum: The only thing I'd add to that down in the ABN business actually does come with a significant amount of custody fees and banking fees as well. So obviously that's helpful. It's not going to have a meaningful up – adjustment on the combined entity from a fee to total revenue, but it does add some further stability on the fee side. And those custody fees tend to be similar to our trust fees in a sense that they're not market sensitive.
Michael Perito: Got it, very helpful. Thank you guys for taking my questions. I appreciate it.
Michael Collins: Thanks, Mike.
Michael Schrum: Thanks, Mike.
Operator: The next question comes from Arren Cyganovich of Citi. Please go ahead.
Arren Cyganovich: Thanks. I guess just thinking about the down REIT environment, how does that affect the conversations that you have for M&A opportunities across your landscape? Is that increase or decreases the likelihood of folks wanting to sell?
Michael Collins: Yeah, I mean, so it's great question. I would say it's the same. I mean, it's very much as it has been sort of a pull strategy. So there's very few sort of – there's quite a few decks floating around. We do have line of sight to a couple that are kind of more active, but it's not really – it's driven by strategic divestiture and really more so than the rate environment, I would say. In terms of the trust businesses, the dialogue is ongoing certainly both with smaller, but also with some of the private equity backed private trust companies. But again they tend to be more strategic in nature. So it's whether you want to have a presence in the market, it's not – doesn't tend to be as much around the rate environment also in the markets that we're talking about this significant amount of non-USD deposits. So again, it's – if you look at the Euros and Sterling books, those haven't really moved in terms of rate outlook.
Michael Schrum: Yes, I mean, we're still obviously having discussions, but I think it's fair to say, we’re really acutely focused on integrating ABN and getting that right. It's a pretty big acquisition for us and obviously 130 new colleagues and trying to make sure the cultures right and the risk profiles right. So we'll continue to have discussions, but our focus right now is really on integration.
Arren Cyganovich: Thanks. That's helpful. And then I guess just thinking about the deposit rate, you had a little bit of a lag where deposit prices did rise in the second quarter. Are we now at a peak in terms of your deposit pricing and should we get the rate cuts? We would expect that to migrate downward over. And obviously, I know you've talked about this on the call already, but I am just trying to think of the cadence that we could expect there?
Michael Collins: Yes, now that's a great question. So we've seen a little bit of migration into fixed term deposits or CDs. As I noted on the call, it's gone up from 22% to 24% of deposits, which actually we just didn't want to lag the market too much. We’ve obviously looked at longer day rates over the last month or so and have been or will be adjusting those very shortly just to make sure that they're in line with the market in terms of – in terms of the overnight of demand or even interest bearing, but where we pay zero interest. This – that obviously isn't going to be adjusted in any way, but as we adjust the CD rates, they call notice accounts be adjusted as well. And there'll be across certainly the dollar books in all three of the banking markets for the Channel Islands, Bermuda and Cayman. So, I think you should think as we talked about last quarter flattening out because we haven't really changed CD rates since December, so it's just the repricing or the rollovers that kind of repricing to higher rates and that's kind of the NIM slight deposit cost increase that you see in this quarter, but it is flattening out and you should start to see that sort of questing. And, so I mean that's all I see it.
Arren Cyganovich: Okay, thank you.
Michael Collins: That's pre-ABN though. Yes.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Noah Fields for any closing remarks.
Noah Fields: Thank you, Chuck, and thanks to everyone for dialing in today. We look forward to speaking with you again next quarter. Have a great day. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.